Operator: Thank you for standing by. This is the conference operator. Welcome to the Intrawest Resorts Holdings’ Fiscal 2016 Third Quarter Earnings Call. As a reminder all participants are in a listen-only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Ms. Liz Derosier, Director of Finance. Please go ahead.
Liz Derosier: Thank you. Good morning, everyone and welcome to the Intrawest Resorts Holdings fiscal 2016 third quarter earnings conference call. After our prepared remarks, there will be a brief question-and-answer session. I would like to remind you that some of the comments made by management during the conference call contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filings filed with the SEC including reports filed under the Securities Exchange Act of 1934. We caution you not to put undue reliance on forward-looking statements. Forward-looking statements made during this call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income or other GAAP measures, management believes adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K dated May 5, 2016. This and the presentation that accompanies today’s call are located in the Investor Relations area on our website at intrawest.com. Our call today will include remarks from Tom Marano, Chief Executive Officer and Travis Mayer, our Chief Financial Officer. I will now turn the call over to Intrawest’s CEO, Tom Marano.
Thomas F. Marano: Thank you, Liz and welcome everyone. This morning, we reported results for our fiscal 2016 third quarter which is our largest and most important quarter of the fiscal year as it represents PCs in operation. We finished the quarter with total segment revenue of $314.2 million and adjusted EBITDA of $161.3 million, which represents 3% growth in adjusted EBITDA relative to the prior year period. Excluding the impact of the weakened Canadian dollar and Intrawest Resort Club Group or IRCG which was sold on January 29th, our adjusted EBITDA grew by more than 8% despite one of the most challenging eastern winters on record. We believe this speaks to the strength of our seasoned path and frequency product program, the impact of our recent capital improvement, and the exceptional guest experience we provide. Outstanding growth at our Colorado Resorts and CMH more than offset the record setting warmth. Even relative to a strong Q3 in Colorado last year, our Colorado resorts experienced growth above all lines of business due to strong visitation and growth in yield, driving average revenue per visit for the company up 11% and effective ticket price up 13%. We enjoyed healthy guest demand for resort services and made select price increases while continuing our focus on providing exceptional value. Additionally the success of our Colorado multi mountain pass product continues to be a significant driver of our growth. CMH benefitted from consistent snowfall and stable conditions throughout the third quarter, which supported growth of both guest nights and revenue per guest night. Revenue for the quarter exceeded the prior year period by $4.2 million or $8.7 million when calculated on a constant currency basis. More sophisticated and targeted marketing effort leading up to the season also contributed to CMH’s strong growth. Specifically we were successful with campaigns designed to attract first time heli-spheres and to promote the favorable exchange rates for U.S. debt. Season pass sales for the 2016-2017 season are already underway and initial sales are positive. We are particularly excited to offer the Kid Ski Free program where with the purchase of an adult season pass at one of our Colorado resorts or a Rocky Mountain super pass plus by June 1st, a child 12 and under receive a free season pass. In combination with our strategic partners Copper, Eldora, Crested Butte, the RMS Ski [ph] plus, and Kids Ski Free program allows family access to 11,000 skiable acres in Colorado at an incredible value. We’ve also launched sales of the max best for next ski season which will be the product's second year. In addition to the 22 participating resorts last year, the M.A.X. pass will include Alyeska Resort in Alaska, Solitude Resort in Utah, and Wachusett Mountain in Massachusetts for the 2016-2017 season. At an introductory price $100 below last year, we believe the M.A.X. pass represents a compelling value proposition to Eastern spheres who want to have the flexibility to ski both post of home and possibly take a trip out West. For us the M.A.X. pass provides an opportunity to reach more Eastern spheres and better market our Western resorts Steam Boat and Winter Park in these. We are very pleased with our fiscal 2016 third quarter results and our ability to deliver growth by one of the warmest winters on record at our Eastern resorts. Once the ground thaws we will begin construction at Steamboat of the Mountain Coaster Mini Golf Course and installation of a high speed turn lift to replace old Elkhead as well as the food and beverage outlet renovations at Winter Park. We believe these investments along with our focus on technology and data analytics to enhance our marketing efforts position us well for sustained long-term growth. I’d now like to turn the call over to Travis for a more detailed discussion of our fiscal 2016 third quarter segment operating results.
Travis Mayer: Thank you, Tom and good morning every one. As Tom mentioned we are very pleased with our third quarter results and the fundamental strength of our business. Total segment revenue for the third quarter was $314.2 million down 1.9% and adjusted EBITDA was $161.3 million up 3.1%. While record warmth in the east and the weakened Canadian dollar had a large unfavorable impact on our third quarter, our Colorado resorts and CMH delivered outstanding results which drove adjusted EBITDA growth for the whole company despite the substantial headwinds. During our third quarter this year, the U.S. to Canadian dollar exchange rate averaged 1.37 versus 1.24 during the third quarter last year. The weakened Canadian dollar and associated non-cash currency adjustments unfavorably impact our third quarter total segment revenue by $12.1 million and adjusted EBITDA by $5.7 million relative to the prior year period. Also as a reminder, we completed the sale of IRCG to Diamond Resorts on January 29th. In the prior year period our results included IRCG for the entire quarter, whereas this year our results include IRCG only through January 29th. Excluding the impact of IRCG during those periods and the $5.7 million impact of the weakened Canadian dollar, adjusted EBITDA grew by 8.1% relative to the prior year period despite one of the most challenging ski seasons in history at our Eastern resort. In the mountain segment, third quarter revenue decreased by 1.1% to $255.4 million. In constant currency however, non-segment revenue increased by $4.1 million or 1.6%. While skier visits across our six mountain resorts were down 10.8% as a result of the unseasonably warm temperatures in the East skier visits were down 18.3%, the success of our Colorado resorts overcame the challenges in the East. Our guests demonstrated the continued willingness to spend more on higher quality offerings, which positioned us to increase yields with total revenue per skier visit up 10.9%. Lift revenue was the largest contributor to our growth, again confirming the strength and importance of our seasons pass and frequency product program. Seasons pass and frequency product revenue increased 7.5% and comprised 41.7% of lift revenue versus 39.1% in the third quarter last year. Mountain adjusted EBITDA increased $1 million or approximately 1% and 3% in constant currency. Our constant currency mountain adjusted EBITDA growth represents almost 100% flow through of the $4.1 million of constant currency revenue growth. We successfully managed variable operating costs in the East in response to reduced visitor volumes and we had a high flow through of revenue growth in Colorado by limiting increases in the variable operating costs there. We believe these results demonstrate our potential of further margin expansion in the future. In the adventure segment, revenue for the quarter increased by $4.3 million or 9.5%, and adventure adjusted EBITDA for the quarter increased by $5.8 million or 37.5%. In constant currency adventure segment revenue grew by $9.4 million or 21.1% and adventure adjusted EBITDA increased by $8.4 million or 54.1%. This growth was primarily driven by exceptional performance of CMH which benefited from outstanding conditions and strong reservations leading up to the ski season, resulting in both increased guest nights and higher revenue per guest night. Additionally this season we ran a highly effective promotion to recruit first-time guests to fill seats in partially booked trip at a special introductory rate. High incremental margin on these previously unsold seats in conjunction with lower operating costs resulting from favorable conditions supported significant margin expansion with approximately 90% of our constant currency revenue growth flow through to EBITDA. In the real estate segment revenue for the quarter declined by $7.7 million or 43.2% and real estate adjusted EBITDA decreased by $1.9 million or 35.9%. This was primarily due to the disposition of IRCG on January 29, which negatively impacted revenue by $5.6 million and adjusted EBITDA by $1.8 million relative to the prior year period and included the results from IRCG for an entire quarter. The prior year period also included proceeds from the sale of a parcel of land at Tremblant, we did not have a similar land sale this quarter. The third quarter net income attributable to Intrawest Resorts Holdings improved by $45.8 million primarily due to recognizing a $40.5 million gain on sale of IRCG. Capital expenditures for the quarter were $8.3 million versus $2.8 million in the prior year period. This increase was primarily due to final payments related to completion of the Stratton base lodge and expenditures for helicopter overhaul, which had been reimbursed subsequent to quarter end. On April 8th we amended our credit agreement to secure greater flexibility to allocate capital to our highest returning opportunities which could now include additional share repurchases as well as possible acquisitions, growth capital, and real estate development. The mandatory prepayment language related to assets [indiscernible] was also modified to provide additional flexibility subject to compliance with certain criteria. It is part of the amendment; the applicable margin was increased by 25 basis points. For complete details of the amendment please refer to exhibit 10.1 of our Form 8-K filed April 12, 2016. Lastly based on our year-to-date results and outlook for the rest of the year we expect to be in the upper end of our previously revised guidance range for the full fiscal year of 2016. To reiterate, our guidance of total segment revenue in the range of $540 million to $565 million and segment adjusted EBITDA in the range of $104 million to $109 million. Net income attributable to Intrawest Resorts Holdings is still expected to be in the range of $25 million to $35 million. With that operator we would be happy to take any questions.
Operator: Thank you. [Operator Instructions]. Our first question today comes from Shaun Kelly of Bank of America. Please go ahead.
Shaun Kelly: Hey, good morning guys. I just wanted to ask a little bit about the breakout. I know you don’t give mountain specific or region specific detail but trying to get a better sense for how Colorado trended versus the Northeast. So could you provide any color particularly as the Northeast unfolded this quarter as to kind of how -- how visitation trend did, we know they started obviously very weak given where we started, but how did they move throughout Q3?
Travis Mayer: We gave the aggregate numbers for the whole quarter and that the visitation for the east for the quarter was down 18%. Obviously a challenging thing. We started to solidify our MLK. So Christmas was top which was the end of Q2 obviously, things got better in early January. We were pretty strong until March and as a general rule across the Eastern property March was fairly soft.
Shaun Kelly: You said March was fairly soft Travis.
Travis Mayer: Yes.
Travis Mayer: Okay, the Easter timing have anything to do with that. This year I know it was a little bit earlier and I know less about the Northeast so is that market a little bit more sensitive to that timing.
Travis Mayer: Typically I think Easter early would be a mitigant for East Coast but things just got so warm at most of the properties that the markets started drying up a little bit. And fortunately CMH saw how to pick up the spare.
Shaun Kelly: Got it. And then the other question I had is just as we think about the guidance range so, obviously you guys had really good performance to CMH and in Colorado, looks like the current key is now working back in your favor. Can you help us just think through a couple of the puts and takes as to why there wasn’t any room or there is many room to maybe now drop the guidance, is there any timing issues in Q3 that we pull forward from Q4, anything we should think about?
Thomas F. Marano: Yes I mean we certainly get Q3 a little bit better than we expected ourselves but largely reflected in the guidance already. But couple of things to keep in mind, Easter being in March this year relative to April last year has some impact in the split between the quarter. So we expect to give up a little bit in Q4 this year relative to last year because of that. We won't have IRCG in Q4 relative to last year. And we are not begging on this huge buyer wedding season here in June. Last year we had thought of firework. So although we are kind of year-to-date a reasonable distance ahead to where we were at this point last year, we didn’t think it was prudent to do anything with the guidance given that -– given what's going on in Q4 relative to prior year.
Shaun Kelly: Okay, that’s helpful and appreciate all the color. Thanks guys.
Operator: The next question comes from Chris Woronka of Deutsche Bank. Please go ahead.
Chris Woronka: Hey, good morning guys. Want to ask you as you look back at the 2015, 2016 ski season, how do you feel you did in terms of getting more East Coasters out to your Colorado resorts? And what are you thinking about for the next year, and I know you might not give out exact numbers but directionally how are you thinking about the improvement you're looking for?
Travis Mayer: How are you doing? I would say we're actually pretty happy with that. The M.A.X. pass was in its first year and we actually found the M.A.X. pass to be very effective at moving East Coast skiers to our West Coast resorts. So we're happy about it. We also increased our marketing efforts not only to Winter Park and Steamboat but we aggressively worked our database to get more new skiers out to CMH. So overall constructive about it, more work to do there. But happy with the investments in technology and data analytics as well as happy with the efforts of the M.A.X pass.
Chris Woronka: Okay, thank you.
Travis Mayer: I’ll take for next year?
Thomas F. Marano: Yes, go ahead.
Travis Mayer: Well, Chris, we’ll give guidance probably at our September call, whatever that quarter is for the year end call, after we get through our budget process and we have a little bit more insight into what we think fiscal 2017 will be like. On our last call we did give a little bit of coaching on what we thought the impact of the East having a bad winter would be, and we said that was sort of around $12 million of EBITDA. So you can keep that in the back of your mind as you start to think about fiscal 2017 and then we’ll give you guys more color on our year-end call and then provide fiscal 2017 guidance.
Chris Woronka: Okay, great. And then the -– I guess the decision to offer the M.A.X pass a $100 cheaper on the initial sale, yes, I'm sure you guys did a ton of analysis and it’s a volume versus price kind of thing, right, but I mean do you -– I mean is your internal models for that saying that you will sell significantly more greater number though so that it offsets the lower price?
Thomas F. Marano: So a couple of things. Again, that’s the start price and we really wanted to have a very attractive and compelling start price for the season. That price will go up several times throughout the marketing period. We’re very happy with the sales so far this season and we're optimistic they will go up from there. So, overall very constructive.
Chris Woronka: Okay, great. And then just finally for me, any update on any kind of hotel or other developments out in Colorado, I know it’s something we kind of talk about every quarter but just any updated thoughts on where you might be in that process?
Thomas F. Marano: Sure. Our head of real estate, he’s been working very, very hard with our outside architects and master planning firm. We have a number of good possible opportunities there. As far as what's going on with development, other good facts out there are that the price for quality product out there has basically migrated up about a $150 a square foot. All of the developer inventory that’s relatively new is pretty much gone out there. So we're working through it. We’re still doing the planning and working with the architects, nothing to report right now as far as a specific project. But the market is primed and is ready for us to do something.
Chris Woronka: Okay, very good. Thanks guys.
Operator: [Operator Instructions]. Currently our last question comes from Joe Edelstein of Stephens, Inc. Please go ahead.
Joe Edelstein: Hi, good morning, everyone.
Thomas F. Marano: Hey, Joe.
Joe Edelstein: Coming out of a pretty tough year here in the East, are you finding some more willingness just among all the players there in terms of talking about M&A or other partnership alliance opportunities and if you could even just add to that, what the commentary has been around valuation ranges and how that would compare to historical?
Thomas F. Marano: Sure. Look, I think when you have a tough winter people from time to time may want to look at trying to buy stuff on the cheat. The reality is that the owners of the resorts are fairly aware of the cyclicality of the business. You do have a bad year once in a while. So I don’t think you are going to see anything extraordinary as a result of the weather. As far as M&A activity, we’re looking for stuff that’s a right fit for us. And look there is other challenges going on the East with DD5 [ph] money so you never know what could come out of that. I expect there would be the usual activity, people checking things out, seeing what maybe they could sell or buy. But we are very focused on things that are strategic best for us.
Joe Edelstein: I appreciate that Tom, and Travis could you just remind us just on some of the dollar cost of some of the CAPEX plans that you have laid out at least through the summer. And then related to that you did mention the increased flexibility with the credit agreements and how that could allow for additional stock repurchases and so it doesn’t sound like you are putting out any sort of official buyback authorization but just any comments there in terms of whether or not that is something that we could expect in the future?
Travis Mayer: Sure, so the first one on CAPEX we gave guidance for calendar year 2016 for $43 million to $48 million of total capital. Kind of the bigger chunks of the resort improvements they are included in that are the mountain coast [ph] at Steamboat. New putting course at Steamboat, the detachable quad at Steamboat is going to replace the old Elkhead chair lift and then some F&B improvements at Winter Park. That stuff will be getting started shortly the next month to two months as things sort out making start doing works. On the credit agreement amendment we got much more flexibility to do restricted payments subject to certain leverage levels. We thought the last buyback we did in February was a big test $50 million worth of stock at $9 we think was a good investment for our shareholders. So we really just wanted to have the flexibility to when we think about allocating capital I am considering the merits of buying stock in addition to doing additional growth CAPEX or potential M&A on the end development down the road. But like you said, there are no buybacks planned at the moment but more just an issue of trying to get the flexibility.
Joe Edelstein: That’s helpful, thank you. And just last question, maybe going back to some of convenience factors and other improvements that you are making for your guest but where do you stand with implementing some of the newer technology, the new mobile app and just the capabilities that you’ve talked about in the past registration mapping, etc. Just when will that be ready?
Thomas F. Marano: Some of it is actually already in place right now and will be completed. The investments will be completed by the new ski season but we are really trying to get people to that buy ahead, buy on your phone, reload on your phone, and we anticipate we’ll have all that in place by this ski season. Some of it is already in place right now.
Joe Edelstein: Thanks for taking the questions and good luck.
Thomas F. Marano: Thank you.
Operator: The next question is from Jeff Lopatin of Red Hook Asset Management. Please go ahead.
Jeffrey Lopatin: Good morning gentlemen, great quarter in a very tough environment. I don’t know how you guys conjured up the one really good day on the East for the Investor Day but the magical foot. With respect to capital allocation, I’d certainly like to state that we’d love to see you do more buybacks at this valuation certainly relative to your peers and the stocks seem excessively cheap and we scratch our heads as to why that’s the case. But as far as questions maybe you can provide a little bit of an update on the NOL, where it stands and whether there is any incremental thoughts around doing something with the Canadian NOL?
Travis Mayer: Sure, there really has been no meaningful change to the NOL. We still have a substantial traditional NOL in the U.S., a substantial traditional NOL in Canada, and then interest loss carried forward in the United States. The traditional NOL in the U.S. is unstable because it’s subject to change control limitations. And Canada there is theoretically some ability to do some transaction around the NOL but in practice probably a difficult to thing to execute. On an ongoing basis we continue to explore ideas related to that. At this point nothing to talk about.
Jeffrey Lopatin: Okay, well thanks gentlemen and congrats again.
Thomas F. Marano: Thank you.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to CEO, Tom Marano for any closing remarks.
Thomas F. Marano: Thank you very much everyone. We appreciate your support and your interest in the company. Have a great day.
Operator: This concludes today's conference call, you may now disconnect your lines. Thank you for participating and have a pleasant day.